Operator: Good day and thank you for standing by. Welcome to the Doximity Fiscal First Quarter 2022 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to turn the conference over to your first speaker today, Doximity Head of Investor Relations Mr. Perry Gold. Please go ahead.
Perry Gold : Thank you, operator. Hello and welcome to Doximity's fiscal 2022 first quarter earnings call. With me on the call today are Jeff Tangney, Co-Founder and CEO of Doximity, Dr. Nate Gross, Co-Founder and CSO; and Anna Bryson, our CFO. A complete disclosure of our results can be found in our press release issued earlier today, as well as in our related Form 8-K, all of which are available on our website at investors.doximity.com. As a reminder, today's call is being recorded and a replay will be available on our website. As part of our comments today we will be making forward-looking statements. These statements are based on Management's current views, expectations and assumptions and are subject to various risks and uncertainties. Actual results may differ materially and we disclaim any obligation to update any forward-looking statements for outlook. Please refer to the risk factors in our S-1, which will be updated from time to time by our other reports and filings with the SEC, including our upcoming filing on Form 10-Q. We'd like to specifically caution investors that our future performance will be hard to predict for the foreseeable future, given the COVID-19 pandemic. Our forward looking statements are based on assumptions that we believe to be reasonable as of today's date August 10 2021. Of note it is Doximity's policy neither be iterate nor adjust the financial guidance provided in today's call, unless it is also done through a public disclosure, such as a press release, or through the filing of our Form 8-K. Today we will discuss certain non-GAAP metrics that we believe will lead to the understanding of our financial results. Our historical reconciliation to comparable GAAP metrics can be found in today's earnings release. Finally, during the call, we may offer incremental metrics to provide greater insight into the dynamics of our business. These details may be one-time in nature, we may or may not provide updates on those metrics in the future. I would now like to turn the call over to our CEO and Co-Founder, Jeff Tangney.
Jeff Tangney: Thanks, Perry. And thank you everyone for joining our first earnings call as a public company. We'll begin with a few highlights; First, our top line. I'm pleased to report that we delivered $72.7 million in revenue for the first quarter of our fiscal 2022, an increase of 100% over the same quarter last year. This growth was fueled by our existing clients, as our net revenue retention rate grew to 167% over the trailing 12 month. Medical marketing requires highly specialized information flows and our clients are learning that our network is well built for that purpose. Okay, second, our bottom line was equally strong this quarter, with an adjusted EBITDA margin of 43%. Our reference selling model and third-party ROI studies continue to allow us to both scale and price efficiently. Third, our network continues to grow. As frontline physicians grapple with high case loads and outbreaks, we're proud that our productivity tools have been able to help our e-signature and fax products are record usage this quarter, and we expanded our enterprise telehealth platform to an additional 24,000 U.S. physicians. We now serve over 30% of all U.S. physicians with our paid telehealth offering. Okay, those are the highlights. But since this is our first earnings call, I do want to take a minute step back and provide some broader context on our business and market opportunity. And then I'll end with a couple product spotlights from the quarter. For the past decade, it's been our mission at Doximity to help physicians to be more productive, to provide the best care for their patients. Today, over 80% of all U.S. physicians use our platform. Our Investor Relations site has a short five minute video demo from my Co-Founder here Dr. Nate Gross. If you'd like to see firsthand that we help doctors video call their patients, side and paper work remotely and keep up with medical news. Our interactive platform allows top hospitals and pharmaceutical companies the best brands in medicine to connect efficiently with the right physicians about new treatments, clinical trials and patient referrals. We then measure our client's return on investment or ROI using third-party claims and prescription data. In 2020 U.S. healthcare spent just 28% of its advertising dollars on digital channels per IDC, that's less than half of the 63% share other U.S. industry spent on digital over the same period curry marketer. So we believe healthcare is still under indexed on digital, and in the early innings of a much needed decade long technological shift. Hospital and pharmaceutical marketers are our largest clients, comprising over 80% of our revenue. They generally organized their marketing teams by brand or service line, each with its own budget and decision maker. Landing the first brand at a blue chip client is usually the hardest for us. But then our land and expand sales motion takes hold in two ways. First, we use our ROI results to cross sell the other dozen or so brands within the same client, for example, from vascular surgery to neurosurgery, or from drug A to drug B, with a median ROI of 10:1 for pharmaceutical clients and 13:1 for hospitals, as noted in our S-1, we've had good success selling additional brands. In Q1, we grew our number of brands per existing client by 21% over the prior year. Second, we upsell existing clients' brands and service lines by expanding their audiences and interactive modules. For example, we can add an appointment booking module for hospital referrals, or the ability to request samples from a local pharmaceutical rep. In Q1, we grew our modules per existing client by 20% over the prior year, so our cross sell versus upsell growth was roughly equal. We're founder led mission driven team. And this isn't our first rodeo. Shari, my Co-Founder; Joe our Commercial Head and I all took our last medical app from my dorm room to IPO in 2011. The average tenure of my direct reports is seven years of the company. We believe experience matters in the complex world of health tech and we've each done our 10,000 hours in it many times over. So it's our life's work to build better technology for medicine, to care for those who care for us. Okay, that's our overview. I'd like to turn now to our product spotlight. Last quarter we deployed over 5000 new features and fixes to our site. As a product led company, I'd like to spotlight a couple for you now; Doximity Dialer and Residency Navigator. Doximity Dialer is our cloud based telehealth platform. We launched the product in response to the pandemic and had been selling it since last summer. As highlighted at the top of the call, we expanded our paid telehealth platform by 24,000 physician licenses last quarter, and now serve over 30% of all U.S. physicians with it. In terms of active users, we're proud we grew year-on-year to over 300,000 unique physicians, nurse practitioners and physician assistants who completed virtual visits with us in the quarter. We're a favorite among physicians for ease of use, and a leader in the influential class IT ratings for our ability to integrate easily and reduce patient no shows. While our footprint of unique telehealth providers grew, our number of virtual visits per provider declined year-on-year due to the sharp spike in free usage we saw last year at the start of the pandemic before we added paywalls to our app. Interestingly, we have seen an uptick in daily visits per provider since July 4, likely due to the Delta variant. There's a reminder, we charge for telehealth on a per user basis like Zoom, not on a per visit basis. We also ship dozens of telehealth features this quarter. Here's a sampling. First, we partnered with UpToDate, the leader in evidence based clinical decision support to make it easy for providers to send their patient educational materials and seamlessly look up clinical questions during a virtual visit. Second, we added one tap interpreter access to make it easy for physicians to add an interpreter or a family member if needed. Third, we added wall charts that doctors can show and annotate as they do in an in person visit. We've licensed a library of anatomical images, but many doctors are adding and sharing their own images too. And last, we created a physician named carter badge that appears at the bottom of a patient's screen, which includes the doctors institutional logo, title and credentials. It looks a bit like what a television news anchor might have. And a survey of 1000 patients founded improved physician quality ratings, and help patients remember the physician's name, if follow-ups were needed. As these new features demonstrate, we believe telehealth will develop its own set of unique clinical and privacy features. We'll continue to lean into R&D in this area as we build what we hope will be an industry leading solution. Okay, now let's shift the spotlight to our residency navigator product. In short, we help graduating medical school students decide which residency programs to apply to. It's a difficult choices there are over 4500 different residency programs in the U.S., each with its own unique strengths. It's a major life decision as well as it's a three to five year commitment to working 80 hours per week. To building on the work we already do with U.S. news and world report each year to rank our country's best hospitals. In 2014, we began gathering physician Alumni reviews on residencies. Topics range from research mentors to case volumes to work life balance. In sum, over a 100,000 unique physicians have rated their residency on our site. In addition to Alumni reviews, prospective applicants can filter programs by case volumes, step scores or maps of Alumni. Applicants can also peruse attending CVs to prepare themselves for the interviews. After listening to the 40% of physicians who marry other healthcare professionals for the AMA, we added a couples match feature in Q1. It allows physician couples to each set their own specialty and clinical criteria and find paired residency matches within 10 to 15 miles of each other. It's seen a lot of use. We've also added the ability to filter by cost of living, school quality, and other family friendly attributes, as more graduates broaden their searches outside the major metros. We're proud to help over 90% of new doctors find their first job, and to use our proprietary data sets and insights to help them begin their careers on Doximity. Okay, I'd like to end by thanking my 749 Doximity teammates who've worked so incredibly hard this past year. I believe there's no better work than building something meaningful with people you like. And with this team, I get to do that every day. So thank you. And with that, I'll hand the call over to Anna Bryson to discuss our financial performance and our guidance. Anna?
Anna Bryson : Thanks, Jeff, and thanks to everyone on the call today. As we begin our journey as a public company, we are excited about our strong first quarter performance. Our unique combination of high growth, robust profitability, and strong free cash flow is well reflected in our first quarter results. First quarter revenue was $72.7 million, up 100% year-over-year. This growth was entirely organic and largely driven by the continued successful execution of our land and expand strategy. Specifically, approximately 80% of our growth came from existing customers. Our leading physician network, native and interactive suite of modules, and attractive ROI has enabled us to become a foundational digital partner for our customers. This is well reflected by our first quarter net revenue retention rate of 167%. This metric is defined in our earnings release, and reflects subscription based trailing 12 month revenue growth within existing customers net of churn. As a reminder, our net revenue retention rate is directly correlated to our revenue growth rate and thus fluctuates with it. Our first quarter results were also driven by the growth in the number of customers spending six figures or more on our platform. We ended the quarter with 224 customers contributing at least $100,000 in subscription based revenue on a trailing 12 month basis, a 58% increase from the 142 customers we had in this cohort a year ago. This increase is fairly evenly split between existing customers that we have upsold, and customers who are new to our platform. So we're encouraged by both our continued growth within the top pharmaceutical manufacturers and health systems, as well as the growing breadth of companies marketing on our platform. Doximity’s value proposition is clearly resonating with an increasingly broad audience of mid-tier and long tail pharmaceutical manufacturers and health systems. And we're even seeing more traction in end markets like medical devices and diagnostics. Turning to our profitability, we are focused on building a meaningful business of scale with not only sustainable growth, but also attractive margins. As we continue down the income statement, please note that unless otherwise stated, all references to our expenses and operating results are on a non-GAAP basis and are reconciled to GAAP numbers in the earnings release. Gross margin in the first quarter was 89% compared to 79% in the prior year period. This quarter gross margin reflected a more typical range relative to the first quarter of last year. In last year's first quarter, we'd experienced a significant increase in third party software and hosting costs for our newly rolled out telehealth solution, but have not yet begun earning any revenue to offset those costs. As a comparison point, our gross margin last quarter was 88% and then the full fiscal year of 2020 was 87%. Turning to our operating expenses. R&D expense in the first quarter was $12.3 million and represented approximately 17% of revenue compared to $9.8 million and 27% of revenue a year ago. Well, we are increasingly reaping the benefits of operating leverage as we scale, R&D remains a critical investment area for us. As a product lead software company with over one-third of our headcount in R&D, we plan to continue to invest in the creation of new products that can both enhance our physician experience and generate new monetization avenues. Sales and marketing expense in the first quarter was $18.1 million and represented approximately 25% of revenue, compared to $12.7 million and 35% of revenue a year ago. This year-over-year spend increase was primarily due to standing up a new telehealth sales team and continued investment in our other commercial solutions. Even with this investment, our highly efficient vertical sales model has allowed us to achieve significant leverage year-over-year. Additionally, from a member marketing perspective, we spent less than 1% of our revenue advertising our platform in the first quarter. This is due to the strong network effects that have organically driven our member growth to over 80% of all U.S. physicians and we do not anticipate this to change in the future. G&A expense in the first quarter was $4.3 million and represented approximately 6% of total revenue, compared to $2.7 million and 7% of revenue a year ago. Our 61% growth in G&A was driven primarily by costs associated with expanding our team and functionalities to effectively operate as a public company. Adjusted EBITDA for the first quarter was $31.2 million and adjusted EBITDA margin was 43% compared to $3.9 million and 11% margin in the first quarter last year. We generated free cash flow for the first quarter of $32.4 million compared to $7.6 million in the first quarter last year. Turning to our balance sheet, we ended the first quarter with no debt, and $726.5 million of cash, cash equivalents and marketable securities, which include net IPO proceeds of $548.5 million. Looking ahead as a newly public company, we want to provide a financial outlook that is consistent with how we manage the business internally. As a result, we'll be providing revenue and adjusted EBITDA guidance for the next quarter and the full fiscal year. For the second fiscal quarter of 2022, we expect revenue in the range of $73 million to $74 million representing 63% growth at the midpoint. And we expect adjusted EBITDA in the range of $26.4 to $27.4 million representing a 37% adjusted EBITDA margin at the midpoint. For the full fiscal year 2022, we expect revenue in the range of $296.5 million to $299.5 million representing 44% growth at the midpoint. We expect adjusted EBITDA in the range of $106 million to $109 million, representing a 36% adjusted EBITDA margin at the midpoint. Now I’ll provide a few more comments on guidance. With regards to our revenue outlook, we saw pull forward of demand over the last several quarters as our customers shifted their budgets to digital channels at an accelerated pace during the pandemic. Going forward as the pandemic eases we expect our customers to increase their portion of digital spend at a more normalized growth rate. Our margin outlook, takes into account continued investment in R&D, some return to normalcy and sales and marketing as a result of more in person client activities and conferences, and higher G&A costs associated with being a public company. That said, we still believe we'll be able to drive meaningful leverage versus our 31% adjusted EBITDA margin in the full fiscal year 2021. In conclusion, while we are not anticipating growth, to remain at the same elevated levels we saw this past quarter, we do believe we are in the early innings of a large and growing market opportunity aided by a secular shift to digital. It's been our aim over the past decade to become a trusted digital partner for our customers and we're excited about the role we will continue to play in this industry transformation. Most importantly, we are proud to be a physician first company, and we look forward to continuing to provide value for our physicians, our customers and our shareholders. With that I will turn it over to the operator for questions.
Q - Stephanie Davis : So I'm sure I won't be the last to say this, but I would like to be the first. Congratulations on a very strong quarter coming out of the gate. My first question is about your TAM. There was a lot of comments about the market opportunities in prepared remarks but it also feels like you're only really looking at the pharma and provider business as you're talking about this market opportunity? So should I expect have you ever looked at other end markets? And what other markets would you think of as the lowest hanging fruit be it med tech or even some digital healthier?
Anna Bryson: Thanks, Stephanie. Great to hear from you. And thanks for the kind words. So I'll start by saying we certainly do believe our largest opportunity remains the core markets that we address today, we're very under penetrated into our $18.5 billion TAM, and we believe healthcare shift to digital provides us a significant opportunity to capture more wallet share there. Now that said, our network really certainly affords us a lot of optionality to expand into adjacent end markets. And for example, as I mentioned, in my prepared remarks, we are encouraged by the traction we're seeing amongst medical device and diagnostic companies. A proof point of our progress here is that we actually signed our first seven figure deal in this space last quarter. And we're excited about the opportunity we have to further leverage our existing modules in order to deepen our digital partnerships with these customers.
Stephanie Davis: So if you had a size where that could be by end of years, it's still a single digit percentage, or could it become more meaningful as our end market grows?
Anna Bryson: Yes, by the end of the year will still be a single digit percentage of our revenue. But that said, we absolutely see opportunity here and we look to continue to deepen those digital relationships over time. But I don't want to oversell the opportunity. Once again, our core markets remain our largest opportunity.
Stephanie Davis: Okay, stay conservative. I like it. And a quick follow-up on the model. Obviously, there's been a lot of push pull since you became public, there was a reopening, there's Delta variant, still at home. What are you asserting, and just in terms of your COVID impact for the guidance, and just seeing as I'm calling from here, as opposed to [indiscernible] 0:21:47 this week, could this also return to virtual conferences and maybe more digital sense as a result?
Anna Bryson: Yes, so firstly, with regards to the Delta variant, it's very difficult for anybody to predict what will happen over the next six to 12 months. Now with regards to our current guidance. As expected, we've seen some returns in person marketing activities, since vaccines are rolled out. And we believe that going forward, just as we're seeing in many other aspects of society, a return to normal for healthcare marketing is really an adoption of hybrid with a mix of digital and face to face. And then also I’ll add, we believe that our customers have seen tremendous value utilizing digital strategies this past year. And in this new hybrid model that I just mentioned, we think our customers will continue putting more emphasis on digital, but that shift will occur at a more normalized pace, which is what is reflected in our 44% top line guidance for the year.
Stephanie Davis: Understand, very helpful. Congrats again.
Anna Bryson: Thank you.
Operator: Your next question comes from the line of Ryan Daniels with William Blair, your line is open.
Ryan Daniels: Yes, I'll add my congratulations on a very strong start to life as a public company. And thank you for taking the questions. So my first question is just in regards to the record use of the platform, both for workflow solutions and the number of providers you're seeing with your paid dollar offering, does that give you more monetization opportunities because of the more active engagement with the provider base that you're seeing today?
Jeff Tangney: Hey, Ryan, this is Jeff, good to hear from you. And Stephanie, good to hear from you as well. I'm also not at [indiscernible] 0:23:29 this week. So I guess that's the sign of our new world. Yes Ryan, you're right, we did see record usage this past quarter with our e-signature and FX products. And also, our unique active telehealth providers was up year-over-year. So we really do think that active telehealth providers is a good proxy for the most active doctors across our whole platform. And for those who see the most patients who are in the specialties that typically represent the highest percent of prescribers and refers. So they're the ones that our customers are most interested in reaching. So we do think that provides an overall lift across the rest of our business.
Ryan Daniels: Okay, and given that's the case and given that you're now up to 30% of all doctors on the platform, is that informing or changing your product development or monetization efforts on a go forward basis? If you think about kind of the R&D spend, and where you're going to dedicate that because of how active that user base is, and kind of a novel product that's unique that you might be able to add incremental solutions to drive more value to your pharma clients in particular.
Jeff Tangney: Well I’ll let Dr. Nate here speak to any of the kind of M&A and longer term initiatives there. But yes, I will say that our growth as the paid telehealth platform and our leadership in the class rankings, we are leaning in heavy in terms of our research and development, and there are a lot of adjacencies as you might well imagine, as we build out that telehealth platform. A lot of that we think we're able to build organically, some of it, we're also looking at inorganically. So that, Nate?
Nate Gross: I think I'll take that one. We see tremendous organic growth potential within our existing business lines, both in terms of current whitespace and favorable market trends, such as the shift to digital. And as you might imagine, there are numerous and massive market adjacencies that we would have a competitive edge and answering, thanks to our network effect and deep relationship with doctors and the healthcare ecosystem at large. For example, post telehealth referrals, so assisting the referral flow after an outpatient visit is why hospitals have spent countless millions buying back brick and mortar clinics. And our platform has unique advantages and ensuring patients are referred to the right specialty care after a visit.
Ryan Daniels: That's very helpful color. Thank you and I’ll hop back in the queue. Thanks.
Operator: Your next question comes from the line Scott Berg with Needham, your line is open.
Scott Berg : Hi, everyone, echoing the congrats on the great quarter. And thanks for taking my questions. I guess a couple here. I think, Anna, you called out some I guess not caution, but conservatism on demand trends going forward. And I think we can all appreciate that. And how about we put the script to your hiring solutions a little bit? Are you seeing maybe an uptick or increase of demand or usage on that product as we start reopening, at least get some trajectory, because maybe physicians are more apt to make a change in this environment than what they were a year ago?
Anna Bryson: Yes. Hi Scott. Great question. So as things reopen, we are certainly seeing increased demand for hiring solutions, particularly benefiting in the part time physician staffing space from the backlog of elective surgeries that have started to resume once vaccines are rolled out. And we are absolutely excited by the momentum that we're seeing here. Now, that said, the growth we saw amongst our hiring solutions customers was still at a lower rate than our overall business growth of 100%. So it was not a meaningful reason behind our growth for this quarter. But going forward, we're certainly excited about the momentum we're seeing there.
Scott Berg: Great, helpful. And then I guess the follow-up question. You all mentioned record EBITDA growth in the quarter, obviously, for record EBITDA margins, I should say, 43%, which are crazy good. How should we think about growth going forward? I think one of the questions I get most from investors as, the growth rates obviously really strong, the margins are probably even more impressive at the growth rate, other ways that you can maybe invest either faster or heavier to sustain the motion and the growth movement that you're seeing today? Thank you.
Anna Bryson: Yes, so a couple things here, Scott. So firstly, absolutely, we remain focused on continuing to invest in our platform to provide the best value for our physicians and our customers and our guidance reflects that. You do see some compression to our EBITDA margins in the back half of the year, really, given the fact that we are going to continue investing there. More specifically, our margin outlook takes into account a more normalized revenue growth rate, and continued investment in R&D, and assumption of some return to in person client activities and conferences for sales and marketing. In the same way, we're assuming our clients will adopt a hybrid sales and marketing model, so are we. And then there's also naturally higher costs associated in G&A with being a public company. So we are absolutely continuing to invest there and we'll certainly continue to invest in top line growth.
Scott Berg: Excellent, congrats on the quarter.
Operator: Next question comes from the line, Brian Peterson with Raymond James, your line is open.
Brian Peterson: Thanks. And I'll echo my congratulations. It's amazing that to talk about the rule of 140. But you guys are setting new dynamic here at the rule of 140. So just maybe one question for me and it's kind of a follow-up to Scott's question. But, if we had to think about the gating factors on growth, and Jeff or Anna, I don't want to take this but, what would those be and what do you see is kind of a two kind of key levels to growth as you think about the next three to five years? Thanks.
Jeff Tangney: Hey, Brian, Jeff here. I'll take that one. And I do like the rule of 140. I might, my crib that one from you. The short answer is that, there aren't that many huge constraints on our growth. Again, we think we're in the early innings of a very, very large addressable market. Again, physicians on a day-to-day basis decide 14% of our GDP as a country, right, and being able to help connect that educate that provide the highly specialized information that they need to do their jobs well, each day, we think is a, a very large undertaking. That all said, the healthcare industry only moves so fast. And so as we’ve pointed out in our top of the call comments, only 28% of healthcare advertising was digital in 2020 and that shift, it's moving a little slower than other industries, which have been 63% digitally in 2020. And of course, we have our own challenges in hiring great engineers and growing our product set and skills. But I'd say the biggest rate limiter is just how quickly healthcare moves to digital.
Brian Peterson: Great. Thank you.
Operator: Your next question comes from the line Jackson Ader from JPMorgan, your line is open.
Jackson Ader: Great. Thanks for taking my questions, guys. Jeff, could I just follow-up on that shift to digital fully under appreciating that 2020 and the Delta variant is kind of a one-time thing. But if we think about the shift to digital in a normal environment, what percent of the pie do you expect that will typically shift to digital each year?
Jeff Tangney: I'm sorry, I was on mute there. Thanks, Jackson. Great question. Prior to COVID hitting, IDC and E-marketer or others have put a report seeing a few points shift each year to [technical difficulty] 0:32:02 normal shift, it's maybe five points a year. I think this past year, we saw it grow a lot more than that, as it should, given that things were completely shut down for the year. Our forecast here, as we look out is we do expect a return to that normalized shift of five, seven points a year moving to digital and healthcare.
Jackson Ader: Okay, all right, great. And then I was worried for a second here that you weren't expecting any shift given the silence. But the -- Anna a quick question for you. Net Revenue retention that accelerated over the -- I think what people thought was the possibly unsustainable 150 rate at the end of last quarter. So what should we be thinking about for the remainder of the year on that metric?
Anna Bryson: Thanks, Jackson. And I'll remember to unmute here. So net revenue retention going forward as Jeff mentioned, net revenue retention is a direct function of our revenue growth. So while we are not guiding to this metric, we do think that looking back at kind of pre pandemic levels to looking at our fiscal 2019 and fiscal 2020, where we had net revenue retention in the range of 130% plus, it’s probably more representative of what our go-forward will look like post pandemic, which is still a very robust net revenue retention rate and we're incredibly happy with that.
Jackson Ader: Okay, great, thank you.
Operator: Your next question comes from the line of Ricky Goldwasser from Morgan Stanley, your line is open.
Ricky Goldwasser: Yes, thank you. Hi. Good afternoon. So I wanted to go back to your comments around sort of pull forward of demand, it seems that guidance sort of implies second half growth sort of around 20 plus percent. As we think about sort of 2022 and sort of the base for '23. And I know it's early, and you're just got it for 2022. But how should we think about sort of that '22 is a base year, right? Is that sort of the growth rate that we should be fostering to 2023? If you can just talk a little bit about sort of that baseline and growth from there.
Anna Bryson: Yes, of course, Ricky, great to hear from you. So well, we certainly don't know what the dynamic will necessarily be in the future. We do believe that the rate at which budgets will shift to digital channels will be closer to what we're seeing pre pandemic is not slightly more pronounced given the significant value that we believe our customers have realized utilizing these digital channels last year. So once again, I would point back to what we're seeing pre pandemic in our 2019 2020 growth.
Ricky Goldwasser: So around -- that's kind of a 125% upsell? Is that how you’re thinking about that?
Anna Bryson: So our revenue retention rate, it was 130% plus for those two years.
Ricky Goldwasser: Okay, great. That's helpful. And then just one follow-up question. When we think about the number of customers with more than 100,000 in revenue, it seems that you are way ahead on your goal for 2022. Can you just share with us what was total revenues from these customers of the overall mix?
Anna Bryson: Oh, sorry, I was on mute. They represented 88% of our total trailing 12 month revenue.
Ricky Goldwasser: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Sean Wieland from Piper Sandler. Your line is open.
Sean Wieland: Hi, thanks very much. And you can leave it off mute. I don't mind a little background noise. What can you tell us about in the telehealth segment about the economics of this business, as you can put any numbers around it? And part two of the question is, how are you thinking about going after the enterprise market or more of an enterprise level strategy, telemedicine?
Jeff Tangney: Hey, Sean, Jeff hear. Yes maybe I should just stay off mute. So the telehealth market, I mean, overall, it's still a very small percentage of our revenue, it went from 2% to maybe 3% or so this past quarter. We're doing very well on the enterprise side. In fact, most of that revenue is from the enterprise side. So as we had stated out on the roadshow, we have over 150 different health systems who've worked with us. And that's really where most of our traction has been. So we're deep into doing the EHR integrations and other work to work with these larger health systems. We're also very popular among small practices. And we've done well there. But actually, the bigger numbers are from the enterprise side.
Sean Wieland: What's roughly the mix there between enterprise and individual subscriptions?
Jeff Tangney: You know, I don't know that off the top of my head, but I just say that the vast majority is enterprise.
Sean Wieland: Got it. All right, thanks very much.
Operator: Your next question comes from the line of Mike Ng with Goldman Sachs, your line is open.
Michael Ng: Hey, good afternoon. Thank you very much for the question. I just have two. First, I just want to ask about optionality. Would you be able to share any progress that you're making against any new business development initiatives, whether that's investing more aggressively beyond physicians or targeting advertisers, beyond the core base of foreign manufacturers and health systems?
Nate Gross: Hi, Mike. Sure, so we have been making on the user side, strong growth within nurse practitioners, and NPAs, we have over half of nurse practitioners and NPAs is on the site. And we believe that we just meaningful opportunities to continue to build out the business is that really matter for them in the future. As Anna already alluded to, we've had some success in the med device and diagnostic space this past quarter. But what I really want to make sure emphasizes that was even all of our business development, we are a products lead software company trying to build a meaningful business at scale that will use both our partnerships and our healthy level of cash on the balance sheet to be able to move quickly and with confidence into building new products. And I think our telehealth expansion that we had into that industry is a great example of that. Now, as that landscape evolves, I think the size of our platform, as well as that cash on the balance sheet might allow us to extend our speed and confidence to potentially extend beyond into making synergistic acquisitions. But those are more likely to be for talent, or for product, less so for revenue. Because as I alluded to before, we see tremendous organic growth potential in our existing business line.
Michael Ng: Great. Thank you very much. And second, would you be able to talk about any expected seasonality as it relates to the timing of marketing campaigns for the rest of the year or maybe in the quarter that may be worth calling out if there's anything? Thank you.
Anna Bryson: Yes, Thanks, Mike. So there's not any expected revenue seasonality, what we're experiencing is very quick program launches on our platform actually, which has contributed to quicker revenue conversion for us. This is a result of both our customers adopting these more robust and focused digital strategies, as well as our investment our customer success team as they become really increasingly efficient and helping our customers quickly develop and launch their programs. So there isn't any expected seasonality going forward.
Michael Ng: Great, thank you very much.
Operator: There are no further questions over the phone line at this time, I would now like to turn the call back to Mr. Jeff Tangney. Sir.
Jeff Tangney: Thank you. I want to thank everyone for joining us today. We look forward to talking to you all next quarter. Thanks so much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.